Operator: Good morning, ladies and gentlemen, and welcome to Foot Locker's Second Quarter Financial Results for 2015 Conference Call. [Operator Instructions]
 This conference call may contain forward-looking statements that reflect management's current views of future events and financial performance. These forward-looking statements are based on many assumptions and factors, including the effects of currency fluctuations, customer preferences, economic and market conditions worldwide and other risks and uncertainties described in the company's press releases and SEC filings.
 We refer you to Foot Locker, Inc.'s most recently filed Form 10-K or Form 10-Q for a complete description of these factors. Any changes in such assumptions or factors could produce significantly different results, and actual results may differ materially from those contained in the forward-looking statements.
 If you have not received today's release, it is available on the Internet at www.prnewswire.com or www.footlocker-inc.com. Please note that this conference is being recorded.
 I will now turn the call over to John Maurer, Vice President, Treasurer and Investor Relations. Mr. Maurer, you may begin. 
John Maurer: Thank you, Susan, and good morning to you all. Welcome to Foot Locker, Inc.'s second quarter earnings conference call. Extending the momentum with which the company started off the year, Foot Locker generated a 9.6% comparable sales gain in the second quarter, and we were able to flow a very strong proportion of those sales to the bottom line, producing record net income of $119 million, a 29% increase over the second quarter last year.
 On a per-share basis, Q2 earnings were $0.84, a 33% improvement on last year's GAAP results of $0.63 and 31% above last year's non-GAAP earnings of $0.64 per share. For the first 6 months of the year, the company had generated net income of $303 million, the most profitable first half result in our history. We have earned $2.14 per share so far in 2015, a 24% increase on a GAAP basis over the same period in 2014.
 Here this morning to provide you with the details of our second quarter performance is Lauren Peters, Executive Vice President and Chief Financial Officer. She will be followed by Dick Johnson, our President and Chief Executive Officer, who will highlight the product trends that drove our results this quarter and delve into the execution of the strategic priorities, which are behind the record levels of success we have achieved so far this year. After Dick's prepared remarks, we'll open up the call to your question.
 So Lauren, let's begin. 
Lauren Peters: Thank you, John, and good morning, everyone. We are encouraged by the continued strong execution of our business initiatives in the second quarter, which led to this record financial performance. We had consistently robust operating results across our channels, geographies, banners, families of business and product categories, leading to a strong gross margin rate, a low expense rate and improved inventory position. But it all starts with top line sales, so let's begin there. 
 By segment, our comparable sales gain in our stores was 8.6%, while our direct-to-customer business again led our performance with an 18.8% sales increase. Within the direct-to-customer segment, the domestic store banner dotcom businesses collectively increased sales more than 40%, while Eastbay generated a mid-single-digit increase. Overall, direct-to-customer sales increased to 11.3% of total sales, up from 10.5% a year ago.
 Within our store businesses, our international divisions produced the strongest sales results, with all regions, Europe, Canada and Asia Pacific, posting double-digit comparable sales increases. We had good performances in the U.S. as well, with the Foot Locker and Footaction divisions both up high single digits. Kids Foot Locker and Lady Foot Locker SIX:02 were both up mid-single digits, and Champs Sports produced a low single-digit comparable sales gain.
 For Lady Foot Locker, it was the -- its fifth consecutive quarterly comparable sales increase and its first positive comp on top of a prior-year comp gain in quite some time. Due to significantly weaker foreign currencies this year, our 9.6% overall comparable sales gain translated into a 3.3% overall sales increase.
 Similar to the first quarter, reported sales were reduced by more than $100 million in Q2 due to the impact of weaker FX rates this year compared to rates in effect a year ago. Footwear was once again the strongest category, posting a low double-digit sales increase. And our apparel business improved significantly, posting a mid-single-digit sales increase.
 Overall, our soft goods sales were up low single digits due to certain accessory categories which faced difficult comps. Within footwear, running and basketball both posted a double-digit increase. In fact, in a testament to the current broad-based and consistent strength of our business, each major region posted a double-digit sales increase in both basketball and running footwear. Comparable sales of kids and women's footwear were also up double digits. Men's footwear sales came close, up high single digits.
 By month, our comp sales cadence was up low double digits in May and up high single digits in both June and July. As in the first quarter, we were able to lever these strong sales to improve gross margin this quarter by 60 basis points to 32.6% of sales from 32% a year ago.
 Also similar to the first quarter, our merchandise margin rate improved 20 basis points on a constant currency basis, with a lower markdown rate partially offset by a lower initial mark-up rate. But FX negatively impacted margin by 20 basis points. Thus, the overall gross margin gain was primarily the result of leveraging the fixed rent and salary elements within our cost of sales. I'm particularly pleased that we were able to improve our SG&A expense rate by 140 basis points to 19.5% of sales from 20.9% last year.
 Through disciplined expense management across our entire organization, we successfully levered our operating costs, and with the help of weaker foreign currencies, achieved a 3.5% decrease in reported SG&A dollars.
 The rest of the income statement, depreciation, interest and income tax expense, came in very close to our expectations going into the quarter. Continuing our trend of solid inventory management, we ended the quarter with inventory down 1.3% from a year ago compared to a sales increase of 3.3%. Inventory increased just over 3% on a constant currency basis compared to a 9.9% total sales increase on the same basis.
 As a consequence of this excellent inventory performance, our inventory turn is tantalizingly close to our goal of 3x. Come year-end, I'm hoping to be able to celebrate the achievement of that goal, the only one of our goals originally set in 2010 that we haven't yet reached.
 The rest of our balance sheet was also strong at quarter-end with cash standing at $970 million, up $13 million from a year ago. We spent $58 million on capital expenditures in the second quarter, bringing our year-to-date total to $118 million. A significant portion of the capital has been invested as planned on enhancing our store fleet, including a combination of new stores, the largest number of which continues to be in Kids Foot Locker, and remodel projects, with activity spread across most of our banners and regions.
 Many of these projects include a partnership space with Nike, Jordan, adidas, Under Armour or PUMA. We also continue to invest in our digital capabilities within the United States and internationally, where we operate e-commerce sites in 10 countries. For example, we significantly upgraded our digital platform in Europe during Q2, bringing together best practices from Foot Locker Europe in the Netherlands, the Runners Point team in Germany and our global center of excellence in Wausau, Wisconsin, where our U.S. digital operations are headquartered.
 While investing in our business to drive future growth, we also continue to return cash to our shareholders. Between spending $76 million to repurchase almost 1.2 million shares and our $0.25 quarterly dividend, we returned $111 million to our shareholders in the second quarter. In the first half of the year, we returned $275 million of cash to our shareholders.
 Overall traffic was up slightly in our stores during the quarter, with our international division seeing stronger trends than the U.S. We believe the geographic traffic differences have a lot to do with a much stronger dollar compared to a year ago, which has led to less tourist traffic in the U.S.
 Average selling prices were up again in the quarter, in line with recent trends. And conversion also improved due to the effectiveness of our marketing programs, investments we are making in training our associates and, of course, the great product our vendors continued to deliver.
 Looking ahead to the back half of the year, we see an ongoing flow of exciting products to support our back-to-school business and the holidays. Nonetheless, we will continue to plan the business cautiously because we've learned that disciplined planning ensures that our inventory and our expense structure stay in line. The metaphor we use around here is that we don't want to get ahead of our skis. So mid-single-digit comps remains our mantra, and in fact, our comparable sales month-to-date are up mid-single digits.
 With the later start of back-to-school this year, we do believe that there's a good chance for sales to be at the strong end of mid-single digits, both this quarter and over the second half of the year. We continue to believe double-digit EPS gains in Q3 and Q4 are achievable based on current sales trends.
 One update to the back half that I will mention is an increase of $15 million in our 2015 capital expenditures to $235 million, which our board approved this week. This increase primarily relates to the move of our New York headquarters a couple of blocks down 34th Street. We're getting underway on building out the new space, with the physical staff relocation slated for April next year. The project also involves a significant reconfiguration of our flagship Foot Locker store that is downstairs from our current offices. 
 Let me now turn the call over to Dick to give you more of the product details behind our results and more broadly review how we're doing in executing our updated strategic priorities. 
Richard Johnson: Thanks, Lauren, and good morning. It's great to have all of you with us of this morning to hear about what drove our second quarter results. One of the things we try to do at Foot Locker, Inc. is to always keep looking forward at what we can do better and how we can build the future performance of the business to be even stronger.
 But it is appropriate every so often to pause and acknowledge the successes the team has achieved. And with the quarter we just announced, now is one of those times because it really was an outstanding quarter and first half of the year. I want to express my sincere gratitude and appreciation to all of our associates in all of our divisions and support facilities around the world for the teamwork, innovation and excellence that are clearly evident in our results so far this year.
 In fact, I truly appreciate how firmly these and our other core values have been embraced by the entire team at Foot Locker, Inc. That said, we realize retail is a game that never really ends. And for 2015, we're just starting the second half, so we recognize the hard work still to be done to finish the year on top.
 Turning to the product highlights in the second quarter. They are quite similar to recent quarters. Lauren already mentioned that both running and basketball were up double digits. In terms of running, lifestyle running continued to be a big driver of our footwear business in all of our regions, led by Roshe, Huarache and Air Max styles from Nike and ZX Flux from adidas. Although those are the really big running platforms, we're also working with other vendors to develop new lifestyle running offerings including PUMA, New Balance, ASICS and Saucony. On the basketball side, Jordan continues to be a tremendously strong brand around the globe. Jordan Retros and Classics, in particular, performed well.
 Meanwhile, the marquee player shoe business in the U.S. continued to grow with ongoing strength in LeBron, KD and Kobe, coupled with stellar growth in the footwear sales of exciting new athletes, in particular, Kyrie Irving with Nike and Stephen Curry with Under Armour.
 The softer parts of our footwear business continued to be in casual, in particular canvas and vulcanized shoes. On the other hand, the launch of the new Chuck Taylor IIs from Converse performed quite well recently, indicating when there -- indicating that when there is some new or different casual product in our business, our customers know to come to us to find it. Although seasonally a small business, we brought in some of our boot assortment from Timberland and Nike earlier this year and the initial sell-throughs were positive, which bodes well for back-to-school and the fall season.
 There were abundant signs of progress in our apparel business during the quarter. Apparel was up solidly at Foot Locker and Footaction in the U.S., where it was primarily a bottoms-driven story, with Nike and Jordan shorts posting strong sales as well as Tiro pants from adidas. At Footaction, jogger bottoms from smaller lifestyle brands also sold well, keeping that banner on the forefront of style for its core customer. Branded Tech Fleece pants and shorts sold well in Europe, where our apparel business continued its rebound with a double-digit comp gain.
 Europe's private label and control brands gained ground in shorts and tees, and our soccer business continued to develop into a more meaningful part of our apparel assortment there. Finally, while posting a comp loss, the apparel business at Champs Sports also improved sequentially, driven by the same branded bottoms trend as in our other U.S. divisions as well as its private-label Champs Sports Gear mid-shorts and jogger pants. The losses are still coming primarily from downsizing what had been a very sizable licensed business. I'll touch briefly now on our key strategic initiatives. 
 First, clearly, the core business remained strong with strong connections to the different core customers of the Foot Locker, Champs Sports and Footaction banners. We are continuing to invest in the remodel programs and expect to have touched at least 30% of the Champs stores and our Foot Locker fleet in the U.S. by the end of 2015. And we will begin to catch up at Footaction as we move into the rollout mode with the Garden State Plaza design in that banner. We are continuing to develop and roll out our vendor partnership spaces such as House of Hoops, of which we now have 165 in the U.S. and another 25 internationally.
 Also at Foot Locker, we now have 5 PUMA Labs. And at Footaction, we have 4 Jordan Flight 23 shops with another 1 slated to open on State Street in Chicago next month. Our latest partnership, The ARMOURY at Champs Sports, is just a couple of months old and the first store is doing well. It's too early to say much about it other than the fact that we and Under Armour are both learning from that store, and we're discussing an expansion of the test at some point next year.
 Our kids business remains robust, just as in the first quarter. The Kids Foot Locker division posted a mid-single-digit comparable sales gain. With the addition of 20 new KFL stores, total sales at KFL were up double digits. We are continuing to roll out Fly Zones in partnership with Nike and are up to almost 30 now.
 Meanwhile, Kids Foot Locker -- kids footwear sales in the other banners were up double digits, and we continue to add Kids Foot Locker stores in other markets outside the U.S. With so many strong performances, it's impossible for us to pick an MVP for the quarter, but Foot Locker Europe would certainly have been -- have to be a finalist. That division posted outstanding sales and profit growth in Q2 with a comp gain in footwear in the teens and apparel up double digits. Sales in all of the big 6 countries were up double digits. Although it is one of our smallest markets with only 4 stores, even Greece had a comparable sales gain for the quarter.
 Our banner segmentation work is continuing in Germany as we position the Runners Point and Sidestep banners to complement our position with Foot Locker banner in that country. It's still premature to draw firm conclusions from that work. We'll be able to give you a better idea of a potential banner expansion strategy towards the end of the year, when we've gathered more experience executing on our multi-banner offense in Germany and have developed our capital plans for 2016 and beyond.
 At the same time, we're reviewing expansion opportunities for the Foot Locker banner in Europe and may look to accelerate somewhat our store growth plans, especially in the markets we believe we're most under-penetrated in such as France and Spain.
 We've already covered a lot of the story behind our next growth pillar, apparel, which is definitely improving. However, you also heard today that our growth in footwear is even faster. As a result, apparel penetration is currently still falling a bit, but let's just say I'm not telling the footwear teams to slow down so that their apparel partners can catch up. As we've said, gains in apparel penetration will take time, but apparel profitability can strengthen with comp increases and improving margins, and that's what we're beginning to see.
 Our next strategic initiative, to build a more powerful digital business, remains firmly on track. With steady high-teens sales increases with strong margins, our digital performance sometimes almost seems automatic. But having come from and led that business, I know how much really hard work goes into producing such consistently strong results. It takes a lot of technology investment, product and marketing coordination with our store teams, analysis of massive amounts of data and outstanding customer service to be a leader in the omni-channel world, and we continue to be just that.
 And since we do live in that omni-channel world, we have doubled the size of our test of the Eastbay Performance Zones in Champs Sports. We now have 8 Champs locations where we feature a select performance merchandise from Eastbay, previously a digital-only banner. The assortments include both seasonal sports-specific merchandise and an ongoing presentation of categories, such as training, that are in the Performance Zone all year long.
 Now turning to our women's business. We recorded our fifth consecutive comparable sales gain at Lady Foot Locker SIX:02, an achievement not seen in almost a decade. With the 205-store fleet still being approximately 90% Lady Foot Locker and 10% SIX:02, the gains are still being driven primarily by Lady Foot Locker. 
 Apparel was up high single digits in Lady Foot Locker SIX:02, led by Nike, adidas and Under Armour, though with other brands such as ALALA, Corel [ph] and Lorna Jane expanding in traditional stores. Lifestyle running footwear from Nike and adidas was another key source of strength, while performance brands such as ASICS and Brooks are still a meaningful part of the assortment for her. Reebok is also beginning to gain some traction in classic running shoes and apparel.
 We continue to build awareness for the SIX:02 banner and refine the formula to maximize our potential to succeed. It is our primary women's banner in the future. As with Runners Point, let's say that we are going to spend the rest of the year to read the results of our work building SIX:02's position in the market and will use the insight from that to develop our future capital plans.
 At this point, it's too early to provide a meaningful update about what the growth trajectory for SIX:02 will look like after this year, which we expect to end with over 30 stores. Finally, the women's business in our other banners continues to be strong with double-digit footwear gains in Foot Locker and Champs Sports in North America, Europe and Asia Pacific.
 Let me wrap up my prepared remarks, as Lauren did, by focusing a bit on the future. We certainly intend to continue building on many of our strengths, one of which is the remarkable consistency of our performance across channels, banners, geography, genders and categories. However, at every strategy session, in fact, at virtually every meeting, we are also trained to take the time to look at what didn't work as well as we'd hoped, where we could have done better and what completely new development opportunities there might be for us. 
 New ideas come out of almost every such exercise, some of which, like House of Hoops, are now core to our business, others of which, well, let me just say some ideas are best put back on the shelf for another day. We have great partnerships and relationships with all of our vendors, and I know we will continue to push each other to find additional ways to succeed together. We also believe that the casualization of our customer base is here to stay and that this trend will expand over time geographically and by age, providing our business of selling athletically inspired footwear and apparel with potential tailwinds for the foreseeable future.
 Thank you. Let's go ahead now and open the call to your questions. Susan? 
Operator: [Operator Instructions] And the first question is from the line of Camilo Lyon with Canaccord Genuity. 
Camilo Lyon: The first question I had, Lauren, you talked about the IMU trend improving. I think you also said that last quarter. And could you just talk a little bit about what -- if you could peel back the layers, what's going on there? Is it more of a mix benefit there you're seeing? Or are you seeing something different there that's improving your positioning with respect to the vendors? 
Lauren Peters: Yes, look, Camilo, what I talked about was the fact that our merchandise margins improved during the quarter. I think they were up about 20 basis points, which was a combination of us further reducing markdowns and that offsetting a bit of that continued IMU pressure. But the IMU pressure has progressively lessened, and really where it comes from, the IMU pressure, is a mix. It's really a mix situation, mix of vendor, mix of product category. But we remain focused on our opportunities to ever get the product allocated better the first time around. That helps with further lowering markdowns. And certainly, as we continue to see progress in our apparel business and its profitability, that helps as well. 
Camilo Lyon: Okay. And then my second question relates to inventory. You're clearly managing your inventory very well. It looks -- you're guiding to a mid-single-digit comp. It looks like you're being very cautious on how you're planning the business, which, if we're looking at this from the perspective of your demand trends, does it feel like you're leaving some sales of the table by not being a little bit more aggressive on your inventory buys or you're feeling that you're capturing all of the demand that you're seeing walk through the door? 
Richard Johnson: Well, look, I don't think -- Camilo, I don't think we'll ever capture all of the demand that walks through the door, but I think that the team has done a great job of effectively managing the inventory. We do plan conservatively, but we chase aggressively. So when we have the opportunity and see the opportunity to move a little bit faster on the inventory front, we work with our vendors to identify those opportunities. Our team goes aggressively after them. So I think that one of the things that's driven our productivity across the board is effective inventory management. I think getting the right product in the right store at the right time is the key. And I think our team, together with Lauren and her planning skills, are getting that done. 
Camilo Lyon: So is that to say that you're able to get more product intra-quarter now than you were in the past? You're able to chase more successfully now than you have been in the past? 
Richard Johnson: We're able to chase more successfully and we're flowing inventory better. So the combination of those 2, I think, really puts us in a position to capture the demand as it walks through the door. We're also doing a better job of looking at our inventory in totality, across stores, across channels. So we have the ability to satisfy the customer wherever they happen to be shopping today. 
Lauren Peters: We work very hard internally and with our vendor partners to be as nimble as possible on inventory flow. 
Camilo Lyon: And this is all before the systems initiatives come into play, which should further the margin outlook and the full price sales outlook as those systems come online next year, correct? 
Richard Johnson: Well, we've got the first phase of our merchandise planning system -- our merchandise allocation system, excuse me, in place. So it's a learning system. So as that system goes through season after season and continues to learn more, we will continue to see more improvement. We'll also get improvement as we get the second phase of that system in place, starting later this year and rolling into 2016. 
Operator: The next question is from the line of Scott Krasik with Buckingham Research. 
Scott Krasik: Just one clarification, and then a bigger-picture question. When you talked about casual, obviously, as a laggard, where do you guys put things like the Jordan Eclipse and Roshe, for example, because I see a lot of people wearing that for casual wear? And then just bigger picture. It sounded to me like there might be a little bit more momentum coming from some of your secondary brands. And do you feel like this is sustainable and we can start to see really increased penetration from some of the brands that have lost share or were too small to matter in the past? 
Richard Johnson: Scott, I think most of the shoes that we sell are technically used for casual use, right? We've talked about before, they're not being -- every running shoe that we sell certainly doesn't see the track or the road to run miles and every basketball shoe we sell doesn't see the court to play a game of hoops. So when we refer to casual, we refer to vulcanized and canvas sort of products, and that's really where the challenge has been through the quarter. Roshe, by our definition, is a running silhouette. It's a casual lifestyle running silhouette, but certainly a running silhouette. The future, our Jordan product is generally categorized as basketball. So when we refer to casual, it's more of the vulcanized canvas shoe. And while there's been some struggles, the Chuck II that launched late in the quarter certainly has performed better than the rest of the category. 
Scott Krasik: Okay. And then just in terms of the other brands, sorry? 
Richard Johnson: Yes, in terms of the momentum of the secondary brands, we work with a number of brands, trying to develop programs and platforms that are right for each of our banners. So you won't necessarily see some of the secondary brands across all of the banners that we've got. But the Footaction team is working on some specific programs with some of them. The Foot Locker team is working on programs with some of them. Champs is working on programs with some of them. So we think there's definitely a place for the secondary brands in our assortment, and we continue to work with them to grow the opportunities. 
Scott Krasik: Okay. And then just did you actually give the RPG comp? 
Richard Johnson: No. 
Lauren Peters: We did not. Since we've anniversaried the acquisition, we really speak in terms of Europe as a region. 
Scott Krasik: Europe? 
Lauren Peters: Yes. 
Scott Krasik: Is it meaningfully different? Do you want to throw that out or... 
Lauren Peters: Yes, we aren't going to break that out. We're very pleased with RPG's contribution to our results. It is accretive for us. We're working through the segmentations in Germany of how to position Foot Locker, Runners Point and Sidestep to reach the broadest demographic that we can. We feel very good about the progress that we've made, in particular with Runners Point, which is really all things running. And the positioning of Sidestep is a little bit further behind that effort in Runners Point. 
Operator: The next question is from the line of Matt McClintock with Barclays Capital. 
Matthew McClintock: I was just wondering if you could elaborate on your comments regarding SIX:02. You talked about refining the formula. I know that there's been a lot of work regarding that over the last several years. While it's a test, it seems like now you're starting to get to a point where you're rolling that concept out more, you're accelerating that. How do you think about refining that formula? And specifically, when we talk about additional brands, like Lorna Jane, et cetera, how do you think about allocation of space to those brands in the current prototype in terms of size of the store? Should the store -- should we be looking at bigger stores going forward? 
Richard Johnson: Well, that's part of the things that we're evaluating, Matt. We started with slightly bigger stores in SIX:02. We're trying to strike the right balance of floor space and productivity. The secondary brands are key to the look and style that the core consumer wants there. So the mix of footwear and apparel, the mix of brands within footwear and apparel remain items that we continue to evaluate. And we were just out in Chicago in Woodfield Mall in Schaumburg, the relatively new SIX:02 there that looked good. And we see the strength of the brand. A real initiative is evaluating the performance metrics in the doors and growing the brand recognition in the marketplace at the same time. 
Lauren Peters: And that customer is clearly telling us she wants the specialty of specialty retail. So we are working on the assortments to make sure that we deliver that to her. 
Operator: The next question is from the line of Jay Sole with Morgan Stanley. 
Jay Sole: Dick, you're talking about apparels. It seems like there's been some real progress in the quarter. Can you talk about why that's happening now, like some of the nuances behind that business that are causing the improvement that you're seeing? 
Richard Johnson: The team's done a great job of narrowing the assortment, identifying key items and driving them hard. We're in a very bottoms-driven assortment time in the U.S. and our team has done a really good job of identifying the key bottoms, the key fabrications, the key styles, and they're driving those silhouettes. In Europe, it's been a combination of strong branded performance. Their private label and their own sort of controlled brands have been strong. And they've really reintroduced lifestyle soccer into the program in Europe, which has been very much a positive. So I think it's really been an assortment of -- or a combination, excuse me, of refining the assortment, going after the key items in depth and moving on. We've got a better markdown cadence. We've got a better freshness ratio. So they've taken the bull by the horns on the apparel front and are really making some differences. The business at Champs, across the branded and private-label side of the business, is improving. They're still trying to rationalize their licensed product business, which, over time, has -- had become a very big chunk of their apparel business. And as they start to anniversary that process of lowering their percentage of licensed products, we see the branded and private label at Champs taking over and then getting positive by the end of the year as well. 
Jay Sole: At the Analyst Day, you talked about some initiatives to continue improving apparel. Where do you stand on those? I mean, what's the next step over the next 90 days? What would you like to see happen just in terms of the operations to continue to drive strong apparel comps? 
Richard Johnson: More continuity of the things they just really identified, Jay, in terms of identifying those strong apparel trends and items, making sure that we maximize those. We create complementary adjacencies for footwear and apparel, that we're always bringing apparel to the bench to try to add on the sale, that we're creating exciting store environments where apparel is really featured and can be talked about by our associates on the floor. So the things that we just started and we're seeing nice bounce from the great work that they're doing, we're just going to get more engrained in that. That's the next step of the continuity. 
Operator: The next question is from the line of Samuel Poser with Sterne Agee. 
Sam Poser: What is -- what are you -- you talked a little bit about the impact of the later Labor Day just sort of in the short term, and I wondered if there was some other launch changes as well regarding Nike, given the later Labor Day or Jordan, if you're seeing any of that. 
Richard Johnson: Well, Sam, we know that the launch calendar shifts and ebbs and flows based on the timing of the various launches. But right now, the bigger impact is probably the later back-to-school with the late Labor Day. And you have to remember, too, that we've got a lot of geography differences when it comes to Western Europe. Their back-to-school cadence is significantly different than it is here in the U.S. So the back-to-school period is really getting to be more like the Christmas period and you have to look at it across the 6 or 7 weeks, where various regions of this country and various regions of our Western European business, our Canadian business, do go back-to-school. 
Sam Poser: You haven't seen any change -- I mean, you see no changes in the momentum of the categories or anything really -- I mean, do you continue to see the strengths? Or are you seeing any changes in categories right now as we move into back-to-school? 
Richard Johnson: We called it out, Sam. When we look at footwear especially, both running and basketball were up double digits for the quarter and across the major geographies. So while basketball still has a bigger percentage of the business here in the U.S. certainly, running is the key silhouette in Western Europe. But basketball is growing significantly there, while running is growing significantly here. So at this point, no, the momentum is clearly there on the footwear side. And with the progress we're seeing in apparel, we continue to see some tailwinds in the sales right now. 
Sam Poser: And then, I mean, I know the question was asked already, but can you give us a little bit of color on -- can you give us any more color on what you've seen from Runners Point Group, Sidestep and so on and sort of how you're looking at that? We were looking forward to hearing a little more color once it hit the comp and so just love to just get as much as you can give us. 
Richard Johnson: The work that we're doing, Bart and his team working with Lew and his team over in Europe, are really designed to get us ready to run a multi-banner offense across Western Europe. So solidifying the positioning of Runners Point is off and is running, and Sidestep being more on the lifestyle side of the equation to complement the position that we've got with Foot Locker is ongoing work. When we took Timberland boots and Chuck Taylors out of Runners Point, we fired some customers. So now we're rehiring customers with technical and lifestyle running and really creating an environment that is core to the Runners Point DNA, which is really where they started, as a technical specialty running shop. In Western Europe, that business is able to be successful, both on the high streets and in the malls. So we've launched a lighthouse store in Cologne and we've got a second plan to expand the lighthouse thought into Vienna in Austria. That will be the first country that we move into outside of Germany in a significant way. So the progress continues and the positioning continues. But it's something that will take some time to get the multi-banner offense up and running. But as Lauren said, the Runners Point business -- Group business continues to be accretive to us, and we're pleased with the results at this point and are very happy that the acquisition is behind us and the integration continues. 
Sam Poser: And then lastly, can you just give us -- you said the -- I mean, on like a scale of 1 to 10, like where are you with sort of the impact of the allocation system that's been put in? I know you mentioned it was a learning system, maybe you could provide a little more color there. 
Richard Johnson: Yes, the first phase of the project, Sam, is completely installed. So the learning piece of it is out there and it's helping us allocate product into the stores today. It's -- we've changed the process that we use, so we hold a little more inventory back in the warehouse and then we replenish to the stores that have the best opportunity -- from the systems perspective, of course, with human monitoring, the best opportunity to sell that product. The second phase, where that knowledge is part of the order planning system, that's the piece that we'll roll out later this year. So we'll continue to get better in the allocation and flow of product into the stores initially. We'll continue to get better with the replenishment of the product into the right stores, which again helps us lower the markdowns and increase the opportunity to sell to the right customer in the store. And then we'll get more informed order writing as we go into '16 and '17. So the system will always learn. The first round of learning is probably the lengthiest as it goes through a full cycle with us, but it will continue to learn and we'll be able to take continued advantage of the installation of the system. 
Lauren Peters: We think it bears fruit for several years. 
Operator: The next question is from the line of Matthew Boss with JPMorgan. 
Matthew Boss: So given your strong gross margin performance in the first half of the year, any change to the flat to slightly positive full year outlook? And then just the best way to think about second half headwinds and tailwinds. 
Lauren Peters: Yes. So we really have done a good job of flowing through the sales gains of up mid-single-digit plan and comp first half, 8.7%. And when we're able to do that, we're really able to lever the fixed elements of the margin. And as I've already described, we actually improved the merchandise margin. So as we look at the back half, planning mid-single, but if we're able to come in at the high end of that range, there's no reason to think that we couldn't continue to lever those fixed elements. So 40 to 50 leverage basis points on the back half is not out of the question. And then the tailwinds, headwinds, we still -- we talked a lot about product strength and what we're seeing coming from product. We've still got the FX that we're dealing with as a headwind, although that begins to get a bit better the further into the back half we go. As we look at third quarter, should be less than 100 on the top line. But just think about it 80 to 100. It's probably about $0.05 on the bottom line for Q3, and then it gets a bit better than that in Q4. 
Matthew Boss: Okay, great. And then just touching back on that FX in the expense base. What's the best way to think about expense dollar growth in the back half of the year? Can dollars continue to be down in SG&A? And then go forward, just any change to the low single-digit comp leverage point or is that kind of the best way to think about it multiyear? Just any investments for us to consider as we think beyond this year? 
Lauren Peters: Yes, we continue to see that we can lever at low single-digit comps. But yes, on the SG&A, certainly, we got a benefit in the first half from the FX as you look at the dollar impact that, as I've described, lessens as you get further into the back half. But we did do some shifting of marketing expense into the back half to make sure that we were really telling our story during the peak of selling periods. So -- and in terms of SG&A, I continue to stick with the guidance that we gave earlier of about 50 basis points over the back half of improvement. 
Operator: The next question is from the line of Matthew (sic) [ Edward ] Plank with Jefferies. 
Edward Plank: It's Eddie, by the way. I guess, Dick, on the kids business, it's been strong for several years now. How do you feel about the runway left there? How much does the global opportunity factor into sustaining that strength at this point? 
Richard Johnson: Yes, the kids business has really been one of the shining stars that we've had amongst many, Eddie. And the opportunity to grow that banner exists both in the U.S., where we continue to add some KFL stores, and in our international markets as well. So we see continued upside there. Obviously, as we opened some partnership spaces, the Fly Zones, they've been extraordinarily well received in this country. We're looking at that partnership space in Canada and in Western Europe as well. So we think there's still upside on the kids business. And that's just the KFL banner, Eddie. When you think about our kids business across the other banners where we sell it, that was up double digits in the quarter. So we continue to see opportunity on the kids side. 
Edward Plank: Great, that's really helpful. And then, I guess, you touched on the Under Armour shop-in-shop concept at Champs. Maybe it's early to ask this question, but do you see any -- are you talking about any scalability there to the other banners? You've got the shop-in-shops with the PUMA Lab and the adidas shop-in-shops. I mean, I guess, how do we think about Under Armour as a factor in that going forward? 
Richard Johnson: We see Under Armour as a player across several of our banners. The partnership space right now, The ARMOURY is clearly focused on the Champs Sports customer. And we have to figure out the scale -- with Under Armour, we have to figure out the scalability of it with the Champs banner. But several of our banners are working hard with Under Armour to continue to drive product opportunities. We think Under Armour will play a significant role in our women's business, for example. They've got some great assets with Gisele, Misty Copeland, people that have real resonance with our female consumers. So we see them having a big impact in the business going forward across banners. 
Operator: [Operator Instructions] Our next question is from the line of Erinn Murphy with Piper Jaffray. 
Erinn Murphy: I was hoping you guys could talk a little bit more about Europe. I think you talked about accelerating your store growth plans there. Can just elaborate what regions you're going to really be focused on? And then, I know JD Sports has been very aggressive in their store rollout plans there. So just how are you viewing your move in terms of being defensive versus offensive at this point? 
Richard Johnson: Well, we always play offense. I mean, that's the fun side of the game. So we look at Western Europe with over 600 Foot Locker stores, a couple hundred stores in the Runners Point Group in Germany, and the multi-banner offense presents us great opportunities across the other countries. That's why the work that we're doing with Runners Point and Sidestep is so critical in terms of complementing the Foot Locker business across the Western Europe theater. So the places that we talk specifically about, we feel like we're a little bit under-penetrated in a couple of the big 6 countries, France and Spain, specifically. So we think there's an opportunity to expand our Foot Locker stores there. And as we get ready to roll out the multi-banner offense, we see, frankly, most of the Western European countries that we're doing business in as an opportunity to run that multi-banner offense. 
Erinn Murphy: Okay. And then, I guess, with JD Sports in particular, are there any other competitors other than them that you're seeing as pretty significant in terms of how they are kind of thinking about their store allocation or store rollout plans? 
Richard Johnson: There's competitors, Erinn, in each country. JD has probably been the most aggressive going across country borders, moving more into the continent from the U.K. But there's competitors that have -- clearly have plans to expand in most of the countries that we do business in. So we look at Western Europe in totality. But the team over there really focuses on specific markets and identifies great opportunities to open stores. So we look at it from an offensive point of view, and that's every country that we do business in. 
Lauren Peters: This is one of our real strengths, that we're very focused on the local customer and what their product preferences are, and we've got a rich history in being able to do that. So it is a competitive advantage for us. 
Erinn Murphy: Got it, that's helpful. And then, sorry, if I missed this. When you talked earlier on in the call just about the strength you're seeing in running, you talked about some of the other brands like PUMA and New Balance, ASICS, Saucony. I didn't hear you talk about Under Armour from a running perspective. How is that brand doing within running in particular? 
Richard Johnson: Their running products is certainly advancing, Erinn. And the call-out that I made was more along the lifestyle side of running. But the shoes that Under Armour is bringing to bear on the running side of the house certainly have gotten better over the last couple of seasons, and we see continued progress there. And we think that both on the running and basketball and ultimately, on the training side as well, that their footwear is improving. 
Erinn Murphy: Got it, okay. And then just last question, just housekeeping on the model for the back half. You bought back a little bit less stock in the second quarter versus the first quarter. How are you thinking about buyback activity in the second half? And just what's included in your guidance? 
Lauren Peters: We have $851 million still open in our authorized program and we're executing against that. I don't have a formula that I can share with you. And so we really look at our capital structure across our opportunities to invest in the business and return to shareholders. And I think we've done a good job of doing both. 
Operator: The next question is from the line of Kate McShane with Citigroup. 
Kate McShane: My question was on apparel as well. You had mentioned that the profitability is improving despite the fact that the penetration is still declining a little bit just based on the strength of footwear. Can you quantify at all how the gap in profitability has improved for apparel over the last couple of quarters and what your expectation is for that gap through year-end? 
Lauren Peters: Yes, Kate. Well, it's a case where we have been improving the margins in both footwear and apparel, happy to be able to say. I mean, we work on flowing all the categories better. But we have narrowed the gap. It's still a case, though, where apparel is chasing footwear. And we do think that -- we still continue to think that the point where we're really at our A game with apparel, that it's got margin potential above footwear margins. But we still have that race going on, and happily, apparel has picked up speed in the race. 
Kate McShane: Have you stated ideally where apparel margins should be once you're at that point? 
Richard Johnson: Well, we think that apparel margins should be better than footwear margins in the end. If we're doing the right thing from a buying and allocating point of view and running the life cycle of the product appropriately with our markdown cadence, we see apparel margins being able to be equal to or better than footwear margin. 
Lauren Peters: Yes, it should be meaningfully better. 
Kate McShane: Okay. Great. That's helpful. And my last question is for Dick. I guess, it's almost 9 months that you've been head of the company now and 6 months since the Analyst Day. Just wondered if you had any kind of insight about what has surprised you during this time period, where you think maybe you have a little bit more work to do than maybe what you initially thought and any kind of insight into the first 8 months on the job. 
Richard Johnson: Well, Kate, the continuity of the role has been probably one of the smoother things. Ken handled his exit in the beginning of the transition as the consummate professional that he is. And Ken and I have worked hand-in-hand for a long time. So the new plan was a continuation plan. The team continues to execute at a high level. So from the business point of view, we continue to make great progress and I don't see necessarily any surprises there, Kate. The biggest surprise that I've had so far is that the CEO role doesn't come with 26 hours in a day. There's a lot of things that, when Ken and I were working together, Ken handled some, I handled some, and now I'm trying to be a good leader across of the business and could use a couple more hours in the day, but I have to figure that out. 
Lauren Peters: This team had started [ph] to help... 
Richard Johnson: Pitch in and help. 
Lauren Peters: Pick up some of those hours. 
Operator: The next question is from the line of Paul Trussell with Deutsche Bank. 
Paul Trussell: Wanted to just ask about price points in a few different manners. One, as we look forward to the fall and turn it around the corner into early '16 launches, any reason to see the pace of ASP gains slow or alter from recent results? Second is, are you able to speak to your current merchandise mix as well as your recent performance across various price points? Perhaps below $100, between $100 and $150 and the more premium product above $150, be interested if there have been any standout performances between price points. And then third and lastly, there has been recently a big double-digit percentage increase in the price point of the Kevin Durant basketball sneaker and it looks like there's going to be a double-digit percentage increase in the price of the retro Jordan sneaker to come. How do we think about the elasticity of some of these products with that type of pricing change? What is embedded in the assumption for how units perform on such a deep increase? 
Richard Johnson: You have a bunch of questions, Paul, so let me try to go back to the first one. From a -- we don't see price-point growth slowing down in the back half, certainly. I mean, I think that the customer, as long as there's great value in the product, they've proven that they're willing to pay the price. And that's across the various buckets that you talked about. If you're talking under $100, the consumer there has to see the right value associated with the price. From $100 to $150, really sort of the wheelhouse of getting towards that beginning of the premium end, there has to be value for the price. And when you get up to the higher price points, the people that create those shoes do a great job of limiting distribution and the number of pairs in the marketplace. So there is a scarcity model that exists that the consumer that gets those shoes feels really fortunate that they got them and they clearly, to this point, have shown that they're willing to pay the price. And our team does a nice job, Paul, of -- with each launch, with each product that they look at, they look at the cadence of other products before, the products that are coming after it from a launch perspective. And they seem to be right more times than not with the quantities that we put into the marketplace. So the real opportunity lies in maximizing the value for the customer across all of those price points, and together with our vendors, we're doing that. 
Lauren Peters: And that's where we're really focused on. And our merchants are making sure that they have compelling products across the price points so that we don't leave anybody behind. 
Operator: The next question is from the line of Bernard Sosnick with Gilford Securities. 
Bernard Sosnick: I'd like to say that when you move to new headquarters, during conference calls, I think I'm going to miss the line of emergency vehicles unless you pipe it in. 
Richard Johnson: Well, you're not, Bernie, sorry to interrupt but we're still on 34th Street. So we still have that sweet sound of the sirens behind us. 
Bernard Sosnick: I know it's very early since the release of Compton and Dr. Dre's album, but I'm wondering if you're seeing any inkling of a change in demand with regards to styling toward hip-hop. And if so, when styling changes like that, will it have an influence on what you're prepared for, for the holiday season? And how quickly might you be able to adjust? 
Richard Johnson: The footwear choices of all of the artists and athletes certainly have a bearing on what our customer chooses to wear. And with social media as active as it is today, they know what whoever is performing tonight, wherever, is wearing. So the fact that the Eazy-E shoe got some press today in The Wall Street Journal tells you that things are shifting. But our consumer is really driven by the moment. And our vendors do a great job of helping manage those moments by bringing great product to bear in the marketplace. Sometimes with fewer pairs than we'd like to see, sometimes with more pairs than we like to see, but they manage that pretty well. So I think as the athletes and the artists continue to change their footwear choices, our customers react to that, and certainly, our buying team reacts to that as well. 
John Maurer: All right. I think that's all we have time for. We appreciate your participation on our call today. We look forward to having you join us on our next call, which we expect will take place at 9 a.m. on Friday, November 20, following the release of our third quarter and year-to-date earnings results earlier that morning. Thanks again. Goodbye. 
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.